Operator: Good morning. My name is Katie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Buenaventura earnings conference call. [Operator Instructions] Thank you for your attention.
 I would now like to turn the call over to Melanie Carpenter of i-advize Corporate Communications. Please go ahead, ma'am. 
Melanie Carpenter: Thank you. Good morning, everyone. Welcome to Compañía de Minas Buenaventura's Fourth Quarter and Full Year 2014 Earnings Conference Call on this February 27, 2015.
 Today's call is for investors and analysts only, therefore, questions from the media will not be taken. Joining us from Lima, Peru, are Mr. Roque Benavides, Chairman and CEO; Mr. Carlos Galvez, Chief Financial Officer;
 [Audio Gap] 
 other members of the senior management team. They will be discussing the results per the press release distributed yesterday. If you did not receive a copy, please contact i-advize in New York at (212) 406-3693.
 Before we begin, I'd like to remind everyone that any forward-looking statements made by Buenaventura's management are subject to various conditions and may differ materially. These conditions are outlined in the company's earnings release in the Disclaimer section. Please refer to that for guidance regarding this matter.
 And now it's my pleasure to turn the call over to Mr. Roque Benavides, Chairman and Chief Executive Officer of Buenaventura for his presentation. Mr. Benavides, please go ahead. 
Roque Ganoza: Thank you. Thank you for attending this conference call. I want to add that Mr. Igor Gonzales is also with us, our new Chief Operating Officer and we are very pleased that he has joined the team. He used to be a board member of us. He continues to be a board member and now he is in charge of all of our operations.
 In the fourth quarter 2014, our EBITDA from direct operations was $39 million and if we include our associated companies this adds to $167 million.
 Strong growth production from Yanacocha in the fourth quarter 2014 permitted to achieve this high-end of the annual guidance. Total attributable production in the fourth quarter 2014 was 245,000 ounces of gold and 5.5 million ounces of silver. Full year 2014 attributable production was 846,000 gold ounces and 19.7 million ounces of silver.
 At the Tambomayo project, an environmental impact study was approved, our environmental impact study was approved in January 2015 and construction is expected to begin in the second quarter of this year. Gold reserves from direct operations increased 13% due to Tambomayo project. At the San Gabriel, Chucapaca project, the critical surface property acquisition was finalized and the company is working to obtain permits for advanced exploration with underground development. Cerro Verde's planned expansion to 360,000 tons per day is in line with schedule and budget. Additional production from the expanded plant is expected as early as the first day of 2016.
  In the fourth quarter 2014, Buenaventura's gold equity production from direct operations remained flat, 104,000 ounces of gold compared to the fourth quarter 2013. Gold production included associated companies increased 33% due to higher production from Yanacocha. Silver equity production from direct operations increased 14% due to higher production in Uchucchacua and El Brocal.
  In Orcopampa, our gold production at Orcopampa increased 14% in the fourth quarter of 2014 due to higher ore treated. Cost applicable to sales in the fourth quarter decreased 15%, explained by lower reagent costs and the improving efficiencies due to better contractor allocation. Our gold production guidance for Orcopampa in 2015, is between 190,000 and 205,000 ounces of gold.
 In Uchucchacua, our silver production in the fourth quarter increased 18% compared to the same quarter of 2013, mainly due to higher ore volumes treated and recovery rates. Costs applicable to sales in the fourth quarter decreased 5% compared to the fourth quarter of 2013, mainly explained by lower reagent costs, better contractual terms, and infrastructure improvement inside the mine.
 Silver production guidance for Uchucchacua in 2015 is in between 14.5 and 15 million ounces. This will be a new record for Uchucchacua, 2 in a row, because in 2014, we had a record production in all the life of Uchucchacua. In our smaller silver mine, Mallay, silver production in the fourth quarter was 6% lower than the fourth quarter 2013, and our silver production guidance for this year is between 1.5 -- 1.1 million ounces and 1,250,000 [ph] ounces.
 At Julcani, our silver production in the fourth quarter was in line with the fourth quarter of 2013. This mine is very consistent and very flat in this respect. Our silver guidance for Julcani is in the order of 3 million ounces for 2015.
 In La Zanja, where we have 53.06% equity participation, our gold production in the fourth quarter increased 4% when compared to the fourth quarter of 2013. Costs applicable to sales in this quarter increased 26%
 [Audio Gap]
 [Technical Difficulty] 
Operator: Excuse me, everyone. Please remain on the line while we reconnect our speakers. Gentleman, you may continue. 
Roque Ganoza: Yes. We were talking about Tantahuatay. I think that was the last that we mentioned. We -- our gold production for the fourth quarter of 2014 increased 15% compared to the figure of 2013. Cost applicable to sales increased 24% due to higher consumption of reagent and blastings applied due to higher stripping ratio. Our gold production guidance for Tantahuatay is similar to La Zanja in the order of 140,000 ounces of gold.
 In El Brocal, where we control 54% of the equity, during the fourth quarter 2014, zinc production increased 100% compared to the 2013, due to higher volume treated from the Tajo Norte polymetallic copper production increased 15% compared to the same quarter of 2013. Silver production increased 57%. And the cost applicable to sales, 13% compared to -- increased 13% compared to the same quarter of 2013, due to higher commercial deduction in the zinc -- and zinc cost applicable to sales increased 5%. Zinc production guidance for 2015 is in the order of 80,000 tons of zinc, and copper production guidance is in the order of 35,000 tons of copper.
 In terms of our exploration in non-operating areas. Non-operating areas during the fourth quarter was $17.8 million compared to $9.4 million in the fourth quarter of 2013. During the period, Buenaventura's main exploration efforts were focused on the following projects: La Zanja Underground, $5.9 million; and Tambomayo, $3.2 million. For the 12 months of 2014, the expense was $50 million, which includes $20 million in the Alejandra underground exploration in La Zanja, and $5 million that -- on behalf of El Brocal in an exploration in the surroundings of Huancavelica.
 Our share in associated company during the fourth quarter of 2014, Buenaventura share in associated companies was negative $113.8 million compared to negative $288 million reported in the fourth quarter 2013, composed essentially because of impairment in Yanacocha. And in terms of Yanacocha, we -- during the fourth quarter, gold production was 322,000 ounces of gold, 75% higher than the same quarter of 2013. For the 12 months of 2014, gold production was 969,900 ounces, 5% lower than 2013 but in the high-end of the guidance given at the beginning of the year.
 2015 gold production guidance for Yanacocha is between 880,000 ounces and 940,000 ounces. Despite of the fact that Yanacocha reported $80.6 million of net income under U.S. GAAP, the impact of an impairment loss in accordance to IFRS related to Conga, resulted in a loss of $380 million. And in the fourth quarter of 2014, costs applicable to sales was $426 per ounce, an increase of -- a decrease of 50% when compared to $849 per ounce in the same quarter of 2013, due to lower stripping ratio in accordance with the mining plan.
 Capital expenditures at Yanacocha were $31.6 million in the fourth quarter and $117 million for all of 2014. Yanacocha still has a strong pipeline of growth projects: Quecher Main it's at prefeasibility; Chaquicocha, sulphides; and Yanacocha Verde at scoping; and Maqui Maqui at exploration.
 At Cerro Verde, during the fourth quarter, copper production was 56,000 metric tons, 10 -- 11,000 attributable to Buenaventura, and 19% decrease compared to the fourth quarter of 2013. For full year 2014, copper production was 226 -- 227,000 metric tons of copper 44,500,000 [ph] metric tons attributable to Buenaventura.
 During the fourth quarter of 2014, Cerro Verde reported net income of $55.9 million, 72% lower compared to $196 million in the same quarter of 2013. This was mainly due to lower sales. For the full year 2014 net income was $377 million. Capital expenditures at Cerro Verde including the expansion projects were $448 million in the fourth quarter of 2014, and $1.75 billion in 2000 -- for full year 2014.
 Cerro Verde plant expansion had an excess of 50% progress and completion, expected -- and completion is expected by the fourth quarter of 2015. The total CapEx for the project is $4.6 billion.
 At Coimolache, attributable contribution to the net income in the fourth quarter of 2014 was $5 million. For 2014, the contribution was $22.3 million compared to $20.8 million reported in 2013.
 The Tambomayo project environmental impact study was approved in January 2015. And the company is in the process of acquiring construction permits. Tambomayo has 250 -- has 251,000 gold ounces in reserves and 336,000 gold ounces in resources. The estimated annual production is 110,000 to 120,000 ounces of gold and 3 million ounces of silver.
 At San Gabriel, Chucapaca Project, the company is currently in the process of obtaining permit for the advanced exploration with underground development of the Canahuire ore bodies and diamond drilling of other prospects. 
 Year-to-date, we had our board meeting and at the Board of Directors meeting held on the 26th, the following resolutions were passed, to call for an annual shareholders meeting to be held on March 27, 2015, the following items will be proposed for approval: approve the annual report as of December 31, 2014; approve the financial statement as of December 31, 2014; appoint Ernst and Young as external auditors of fiscal year 2015; and approve the company financing operations, including, but not limited to placement [ph] and issuance of obligations and/or obtainment of loans as well as delegation of power to the board for the approval of all the agreements deemed necessary or convenient to determine or approve each and every one of the terms, characteristics and conditions of the company's financing activities.
 With this, we are open to any questions that you may have. Thank you. 
Operator: [Operator Instructions] Our first question comes from John Bridges from JPMorgan. 
John Bridges: Just wondered with these results, are there any unusual items here, things that impacted these Q4 results, over and above the impairment that you reported at Congo, things that impacted these results which are not going to flow through into 2015? 
Carlos Pinillos: Nothing special, John. We believe that what we have already included whatever we had to provision. There are no additional issues to include. The only thing is that we will continue pushing the exploration underground in Alejandra, in order to be able to put in, in operation perhaps in a year time. But this is the only thing that is impacting. You know that we expend 100% of our exploration efforts. 
Roque Ganoza: Well, if I may add, we -- during this quarter, we have bought the surface land for the San Gabriel, Chucapaca Project, and that this 1 shot, no? It may be a smaller amount but that will not be spent again in the future. The exploration at, as Carlos mentioned, at Alejandra in La Zanja will continue. And it is nothing that we will stop, no? So, yes, that's the position. 
John Bridges: Where's the land purchase represented in the accounts for San Gabriel? 
Carlos Pinillos: Well, this is an amount of -- a total amount in the overall in the numbers. And -- but this is capitalized because this is a land that we purchased. 
John Bridges: Okay. Good. And then, but Cerro Verde if production's down 19%, what should we take away from that looking forward into 2015? 
Roque Ganoza: May I ask Raúl Benavides to answer that please? 
Raúl Benavides Ganoza: Yes. John, there have been a number of issues in Cerro Verde. One is, of course, the leasing the trucks for construction purposes in Cerro Verde and they have been processing to stockpile. These stockpiles have more oxides in the ore and also you have the rainy season right now and we have some bad rains in Arequipa [ph] in the last 15 days, and the water also generates problems so that's about it. This is part of the problem in terms of the expansion but the -- in the future, I think that there will be no problem. 
Carlos Pinillos: The good news is that several haulage trucks are being assembled and we have incorporated to the operation so March works. So in addition to that, Cerro Verde is reviewing the mining plan in order to catch up with traditional standards of our production. 
John Bridges: Okay. And the copper revenues from El Brocal were relatively low. Was there something unusual that happened there? 
Carlos Pinillos: Well, you know that there was an important production and sale of copper because we focused on that. We sold in total a record production of 152,000 tons of copper concentrate. The bad news is that this copper concentrate includes an important arsenic content. And this is why the penalization is that high. You know that the treatment charges were very important and for the 3 months, the penalty charges in El Brocal were almost $31 million as compared with the quarter of 2013 there were only $16 million. This is through the arsenic content in the copper concentrate. 
John Bridges: You overwhelmed the market for high arsenic concentrate this quarter but that's not going to happen in 2015, is it? 
Carlos Pinillos: Well, this is -- we are going to review some production and sales of copper due to the fact that we are going to normalize our operations sharing 11,000 tons capacity to the polymetallic ores and only 7,000 tons to the copper concentrate. Besides of the fact that coordinating with our purchasers, we stopped delivering copper concentrate during the first 2 months of the year. 
John Bridges: Okay. That's great. Finally, the permits at San Gabriel, how long do you think those will take? 
Carlos Pinillos: That's a good question. The -- what we are planning to do is to start to ramp down underground in April. We have already working on the minor few [ph] for explosives to be ready for going underground. That will begin the process but we will have probably sometime during this year the permit for construction. And then we can go and do the work for the main installations for the plant and the -- and all the work. Remember, this is an underground mine and it doesn't not require as much infrastructure as in earth movement as an open-pit mine. 
Roque Ganoza: I think we -- I can add that there is a worry at the government level that permitting has to be faster, has to be more expedite. And we -- I would say that we can get the permitting faster than what we used to, to date in the past. 
Operator: Next question comes from Santiago Perez Teuffer from Crédit Suisse. 
Santiago Perez Teuffer: I have 2 questions, if I main -- if I may sorry, the second one is related to Yanacocha. Could you give more colors on the impairments there? I mean you mentioned that it's related to Conga, but Buenaventura's reserves still all noncash and we have to expect something similar for 2015 or is this all over? 
Carlos Pinillos: Well, this is -- so as you know that Buenaventura is the only one that incorporate this in their financial statements due to the fact that we use IFRS, while in U.S. GAAP it's not a requirement. This is the second impairment that we calculate. Remember that last year we had an impairment of $1 billion plus 50% mainly coming from Conga and the other 50% or about 50% coming from Yanacocha's operations.
 This year, we -- Yanacocha reviewed this calculation. There was no necessary to have an additional impairment for Yanacocha's operation while under IFRS, it was necessary to have the $540 million impairment -- additional impairment, 100% for Conga. We believe that with this we have already included almost 100% of our attributable part of these requirements. We do not foresee any in the future at least from Buenaventura side. 
Santiago Perez Teuffer: Perfect. Very clear. And then in Cerro Verde, Raúl it was very useful to hear your answer, but can you give expectations for 2015 in terms of production and also probably in cash cost? And if these rains in Arequipa you mentioned, these were in this quarter, right? Unless you think the. 
Raúl Benavides Ganoza: Yes. 
Santiago Perez Teuffer: Is this going to be a strong impact or how should we think about it? 
Raúl Benavides Ganoza: Well, first of all, what is happening in Cerro Verde is we will have -- at least it's planned up-to-date that the first 2 mills from this mill flotation plant will be running in September. That means that we will have some small production coming in September but this is part of the commissioning. So what Freeport is projecting is that by mid of the second semester of 2016 we will be in full production, but not before that. 
Carlos Pinillos: What about cost in production for 2015? 
Raúl Benavides Ganoza: The costs have been affected by a number of features that are not going to repeat themselves and we will have a total cost of $1.50. There's a number of good things happening in costs, in general, in Peru. One is the dollar value appreciation. 
Carlos Pinillos: Dollar appreciation. 
Raúl Benavides Ganoza: Dollar appreciation, that generally that labor, that is a big part of our cost, is going to be less in dollar terms. And also the fuel prices have reduced. So I believe that in Cerro Verde, I think, you can expect the costs to be in the order of $1.50 in total cost. That's what we had before because we were going to reduce also a little in the grade, with the expansion. As you can imagine producing 120,000 tons per day is something, but when you go to 360,000, the grades are not going to be kept in the order of 0.5, 0.6. It's going to be reduced. But yes, it should be producing the 600,000 ounces... 
Carlos Pinillos: Tons of copper. 
Raúl Benavides Ganoza: Tons of copper by the end of 2016 for sure. 
Santiago Perez Teuffer: Perfect. Thanks. And just to understand what you mentioned about cash flow. So just from the U.S. dollar appreciation and the changes in fuel prices, you expect cash costs to go down very significantly towards 1.5% this year? And then when you're producing on a normalized basis will be -- with the 360K tons in the mill, how do you expect it to be shared[ph]? Because I mean, as you mentioned grades are going to tend to go lower, so you are going to produce with 3x the amount of milling capacity, just double the production. So how we should think about this in profitability? 
Carlos Pinillos: Now what you have to consider is not only the valuation of our currency or appreciation of dollar, but also the lower diesel price due to the reduction of oil prices in the market. That is going to impact positively. On the other hand, the fact that we had not only these ores coming from the old stockpiles that had been oxidized with lower recovery impacted and this is going to be turnaround at the end of this month, February. We expect that we have -- it has been announced from March onwards, we are going to get back to the traditional operation area with the regular ores with the mining plans Cerro Verde is working on and this additional information that we could add some premium capacity from October was [ph] during the commissioning, we expect to have the cash cost that was last quarter in the order of $1.7 per pound to get back to $1.50. Due to the lower grades in the future we are -- we expect to have $1.60, $1.70 cash costs per pound in Cerro Verde. 
Operator: Our next question comes from Thiago Lofiego from Merrill Lynch. 
Karel Luketic: This is actually Karel speaking. So I have 2 questions. First on your direct operations, if I may. Looking at costs, if we look at La Zanja and Tantahuatay, they have been kind of offsetting the better cost performance from Orcopampa. How should we expect costs from La Zanja, Tantahuatay, that if I believe them correctly were driven by higher stripping ratios should they evolve, how should they evolve along 2015? And in a consolidated way what should we expect in terms of gold costs for your -- from your direct operations? That's my first question, please. 
Roque Ganoza: Well, first of all in Tantahuatay I think that we should expect a similar cost in production for this year. La Zanja will be about the same as well. So I don't expect major changes in those costs. Now over the other operations, I don't know if Igor wants to comment or Carlos. 
Carlos Pinillos: Yes. It started in the last quarter of 2014, we've embarked in a cost review for our operations and I would -- we were able to achieve some results and those costs are already included in these numbers that have been made public. So throughout -- and however, we continue to do that, we will continue to try to benefit from the lower activity of all the contractors in the -- in mining and therefore, try to renegotiate the better rates as we go. 
Roque Ganoza: Well, you can observe that Uchucchacua's cost applicable to say was -- cost applicable to say has reviews despite of the -- is that we have been fine tuning our operations to the new volumes. We are going to have as well the impact -- the positive impact of the -- our currency evaluation and the fuel oil prices. In the case of Orcopampa, you know that we have completed the remediation project we had, that is permitting to reduce the crews, the number of people in the crews to maintain the operation. And the new equipment is smaller than the one that we had in the past, is remaining to focus our operation with lower dilution. So this is -- has a positive impact. We believe that Orcopampa will continue producing at the same cost we reported and Uchucchacua has room to move -- to improve this cost. 
Karel Luketic: That's great. If I may, a second question here on the San Gabriel project, the old Chucapaca. If you obtained the licenses along this year when could we expect the project to effectively start off, let's say you get the licenses by midyear? On what size of projects are we talking about in terms of volumes and maybe CapEx, if possible? 
Roque Ganoza: Okay. We're going to finish the environmental impact study probably in April, we will submit it to the ministry. And as I told you, we would like to -- we're expecting to have some permit before the end of this year to begin construction, so we can do a movements around there. But we have generated some permit before that so that it will permit us begin with the tunneling, with the ramping on April and some of the installations can be constructed. This means that if we can construct the mine, probably, we can do it in 1 year time. The best we could do is 19 -- 2017 to have the mining production. I think that you can expect by mid-2017 and we don't have the -- enough information because permits could be delayed and things that we don't control. But if everything goes okay, by mid-2017, we could have that mining production at 3,000 tons per day in simulation and flotation, so that we can get the maximum out of these ores. The grades that we are expecting are over 8 grams per ton and that means that we could be producing in the order of 200,000 ounces per year. 
Carlos Pinillos: And at CapEx of the -- in the order of $500 million. 
Roque Ganoza: We hope they're less than that. 
Carlos Pinillos: And hope less. If you remember, the original project with the open pit was say in something like $2 billion. We are -- have reduced the CapEx substantially and the production will be solid 200,000 ounces plus. 
Raúl Benavides Ganoza: The one thing that is very good about San Gabriel is that we have a lots of information for the studies and everything from the first feasibility study made by Gold Fields. So this makes it easier to go forward than in any other project. And Roque had mentioned, we have the blessing of having the only property we need right now and that's -- that was the main restriction for that project. 
Operator: Next question comes from Carlos de Alba from Morgan Stanley. 
Carlos de Alba: The first question is if you can give us any comments regarding the $12 million other income than benefited the results this quarter? I mean clearly if it is a lot of little items that's fine, but if there is a significant element that drove that number, I would appreciate it. There was a big change quarter-on-quarter? And the second question would be, when do you believe you can start up Tambomayo, given the progress that has already been made and what sort of ramp-up do you expect in that project? And then finally, if you can comment on the CapEx guidance for this year, that will be great. 
Roque Ganoza: Look, in Tambomayo, we have already the environmental impact study approved and we are asking for permission to start constructing. What Igor is planning is that we can make all the construction of steel and everything that we can do in Arequipa so that we can have things preassembled in Arequipa and we will review the time of construction, probably we could be producing, I don't know, probably next year -- by mid-next year. 
Igor Gonzales: Yes. In addition to that, in Tambomayo, we have 80%-plus of the detail engineering completed. And we have purchased most -- all the principal equipment, all the main equipment for the processing facilities, so that's a plus to us. And as such, all we have to devote once we get the construction permits is to build the plant. 
Carlos Pinillos: Yes, in the case of the $12 million you mentioned, Carlos, this is a nonrecurring income from a miscellaneum item. So I could review this in detail, but there is no only one thing that can explain this order income that is made of different... 
Carlos de Alba: And the CapEx guidance for this year. 
Carlos Pinillos: The CapEx guidance for this year is in between of $270 million to $300 million, which includes what we have already mentioned. Tambomayo, explaining 52% of that; San Gabriel in the order of 18% of this figure; and well Brocal, La Zanja [indiscernible] may be sustaining us. 
Roque Ganoza: Another thing that we're mentioning in Tambomayo is the grade is going to be about 10 grams of gold and 10 ounces of silver per ton. And the -- we'll have a throughput of 1,500 tons per day. 
Carlos de Alba: Okay. And how much is maintenance out of the CapEx? 
Carlos Pinillos: From this CapEx, sustaining CapEx is 24%. The difference is growing. 
Carlos de Alba: Okay, great. Thank you. And just to -- the Tambomayo, the milling capacity is how much? 50,000 tons per day? 
Carlos Pinillos: The milling, 1,500 tons per day capacity but initially, we are going to work at 1,000 tons per day. 
Operator: Our next question comes from Patrick Chidley from HSBC. 
Patrick Chidley: Just a question on the reserves. Just a number of the projects, obviously, the reserves including Tambomayo have quite a short mine life. And I'm wondering if you could comment on what resources you have behind those reserves to maybe add to reserves and when we'd see some of that come through? 
Roque Ganoza: I think we have many times explained that underground mining doesn't have as much reserves as an open pit mine. And when we are talking of Uchucchacua, Orcopampa or even Tambomayo, that is -- that are underground operations, we essentially feel confident and comfortable with 4, 5 years in advance and obviously, committed to continuous exploration. This has been the track record of the company for over 60 years and that is what we are going to continue doing. It is very expensive to maintain the tunnels and all the infrastructure to account for reserves in underground mining and that's the reason for probably not having that much of our reserves in our account, no? 
Carlos Pinillos: Yes, if I may add, Patrick, in the case of Tambomayo, before beginning the construction of this project, we have to already count on 3 years life of mining in terms of reserves, plus 2 years in terms of resources to be developed, plus potential for sure in order to continue exploring and developing the mine. 
Roque Ganoza: And expanding, because we are -- we continue exploring. 
Igor Gonzales: And, if I may add also, operationally speaking, one of the targets of the project this year is of course, to find more resources and also do some resource conversion. So it's not that we've taken our eyes out of that particular subject. We are aware of that and we have a campaign for this year already planned for Tambomayo. 
Patrick Chidley: Okay. And just on a similar subject, San Gregorio, obviously doesn't come into the reserves yet. Are you expecting to make a conversion at the end of this year? 
Roque Ganoza: Well, we are making substantial progress with the community. And we are very pleased that, well, we are getting to terms. There is more confidence between the parties. But we cannot assure that this will happen by the end of the year. We continue working, we -- as I say, we are positive in this respect. 
Patrick Chidley: Okay. And actually, how about San Gabriel as well in terms of the reserve conversion potential there? 
Roque Ganoza: Well, that -- we are also very confident there. We need to go underground. That will not only permit us to open and to take a sample to do all the testing work that it may remain needed. But also, it will enable us to drill from underground which will be far more efficient than what we are doing right now. And obviously, it will be from a weather standpoint, it will be easier to do it. 
Carlos Pinillos: In addition to that, Patrick, you have to bear in mind that to report these resources as a reserve we need to count on the feasibility study that we are working on. Once we complete that, we are going to confirm part of the resources into reserves. 
Igor Gonzales: Yes, and as Raúl mentioned, we are getting, obtaining the permits right now for the explosives magazines. And hopefully, we can start doing the underground work by May of this year. That's within the schedule. So it's only then we can convert what we have into reserves but we have to do some development of that ramp first before we start converting reserves. 
Patrick Chidley: But that's -- that will be by the end of this year, you'll have the study done, I guess, and you'll have started construction at the best case? 
Carlos Pinillos: Yes. That's correct. In both projects, the philosophy is the same. In the case of Tambomayo, we will have 5 years of reserves and resources. In the EIS, while that year is going, we will make more reserves and resources in order to cover, replenish the reserves. In the case of Chucapaca, San Gabriel we've been quite more conservative because we -- at 3,000 tons per day we have almost 10 years lifetime. That's the reason that we were -- we have the possibility of expanding that plant in both cases to double the capacity. 
Patrick Chidley: Okay. So that would be to double potentially in the future the capacity to 6,000 tons a day, is that -- that's right? 
Roque Ganoza: Yes. 
Patrick Chidley: Okay. And just remind us, what was the -- what's the resource at San Gabriel, the total resource in gold ounces? Has that changed any? 
Carlos Pinillos: We are talking at the level of -- at the grade of the scoping study that was 6.5 grams per ton. A total result 2.5 million ounces. But with the information that Raúl is sharing, that it could be in that order of 8 you have to add plus the volumes that we have to confirm with the underground development that we expect to complete with the ramp we're going to build. 
Patrick Chidley: Sorry, I didn't get that -- so 8, did you say 8 grams or 8 million ounces? 
Carlos Pinillos: 8 grams instead of 6.5. That is the number used for the scoping. 
Igor Gonzales: 2.5 million ounces. 
Roque Ganoza: That's around 2.5 million ounces, as Igor is saying. 
Carlos Pinillos: As the starting point. 
Roque Ganoza: Yes, what happens is that our experience is that normally when you diamond drill, you lose the finds and the ore that you find is 10% to 20% higher grade. Now that's something that we can approve, but it's the experience we have, no? 
Patrick Chidley: Yes, to prove that, yes. And just quickly on the asset sales. I know last year, I thought, there were some discussion about selling some of the smaller assets. Have you made any progress on that or have you changed the plan? 
Roque Ganoza: Yes. We're almost done with Trapiche, we have proposal for Shila-Paula and for Poracota. So -- and we have 2 or 3 -- 3 companies almost ready to make a bid for Recuperada. So I would say that you can be confident that by midyear we could be over with this. 
Patrick Chidley: Okay. And that Julcani as well or not? 
Roque Ganoza: No, sir. That's a kind of a memento for us. We have -- we will keep on producing in Julcani and Julcani is making money and it's finding more ore. No problem with Julcani. 
Raúl Benavides Ganoza: Julcani is producing in excess of 3 million ounces of silver and is generating cash and generating profit. It is probably -- last year was the second record year for Julcani. So there is no reason for selling a good asset like that and has exploration potential. 
Carlos Pinillos: And important to mention that the average cash cost of Julcani is $12.50. And in '14 last -- during the last quarter, a higher cost applicable to sales cost is due to the fact that cash and imported inventory material that had to be a delivered at the smelter abroad to be considered sold. So this is a reason to have this higher or important variation in the average. 
Operator: Our next question comes from James Bender from Scotiabank. 
James Bender: I just have a few questions. The first one would be on the income statements. Carlos, I believe you mentioned that the $12 million gain in other, that's not -- it's nonrecurring, is that correct? 
Carlos Pinillos: Yes, the other this $12 million reported in the last quarter is a nonrecurring miscellaneum. But if you wish, we could have this miscellaneum be prepared in order to show you. 
James Bender: Okay. And then on the assets held for sale and the loss of discontinued operations, is that related to the 4 assets that were mentioned in the previous question? 
Carlos Pinillos: The question is that we have separated these expenses in order to have a clear -- according to our rules, we have to show separate way those operations that -- well, those operating units that have been paralyzed. And this is just to control that we are reducing dramatically the expenses there. Mostly we are expanding less at $400,000 in total just to maintain under current intent [ph] these units until we sell. 
James Bender: Yes, absolutely, I understand. But that would be Antapite, Shila-Paula, Poracota and... 
Carlos Pinillos: Right. And Recuperada. 
James Bender: Yes. Okay. And Recuperada, yes. Those are my income statement questions. Now on Tambomayo, previously you had, I think, it was in the Q3 conference call, you had mentioned that total CapEx was about $200 million and the cash costs were about $350 an ounce on a byproduct basis. Is that still the case or has that changed? 
Carlos Pinillos: In terms of our CapEx for Tambomayo will be in the order of $250, including the development of the mine that we have. The second part of your question was, sorry? 
James Bender: The life of mine cash costs on a byproduct or coproduct, whatever you have. 
Carlos Pinillos: In terms of gold, we consider that would be about $550 to $600 per ounce of gold, given the byproduct rate of the silver production that will be in the order of 300 million ounces per year. 
James Bender: And just to confirm the $550 to $600, is that just the gold coproduct, or is that byproduct including the byproduct fee? 
Carlos Pinillos: Including. 
James Bender: Including. Okay. 
Carlos Pinillos: Including the byproduct credit of the silver 3 million ounces per year. 
James Bender: Okay. Perfect. And just to confirm what was previously mentioned, the throughput capacity is expected at 1,500 tons per day. But will start at about 1,000, and the gold grade is about 10 grams per ton? 
Roque Ganoza: Yes. And 10 ounces of silver. 
James Bender: And 10 ounces of -- and what's the expected recovery? 
Raúl Benavides Ganoza: In Tambomayo, about 13% [ph] in both. There we also are going to make simulation and flotation. It -- the initial ores, the upper levels, the oil needs simulation but then we will need flotation. 
James Bender: Okay. Perfect. That's it for Tambomayo. And then my last question is on guidance. Usually provide overall guidance for production and cost by metal, but I don't think you are -- your presentation is up yet. So would you be able to provide some this morning? 
Roque Ganoza: Some guidance for costs? 
Carlos Pinillos: No. For production, it is pretty clear. The guidance for this year is in the order of 100 ounces of gold plus, [ph] and silver will be in the order of 24 to 25 million ounces and the zinc production attributable to us will be in the order of 60,000 tons to 70,000 tons of zinc, and in terms of -- I'm sorry, sorry, so copper will be this level, and for zinc will be about 37,000 to 40,000 tons during the year. 
James Bender: Okay. And on the cost side? 
Carlos Pinillos: Well, I -- we have to calculate the average, the compound average of that. 
Operator: Our next question come from Ana Zinser from Crédit Suisse. 
Ana Zinser: Well, most of my questions have been answered, but I have one last question regarding cash cost expectations for El Brocal? 
Carlos Pinillos: Unfortunately, we don't have a final answer to this because we are in the middle of the ramp-up. We are fine-tuning issues in the crushing facilities and we haven't achieved the final solution to that. Perhaps Igor can add some things to that. 
Igor Gonzales: As Carlos mentioned, we're doing the ramp-up process and we're trying to be as methodical as possible. So we found some issues first, at the primary crusher we had installed, now the secondary crushing system is being debugged. We have some issues with liners there. We're trying to solve those. Now we're moving into the tertiary crushing and washing sections and then down onto the all the classification segway [ph]. So it's going to take a few weeks before or maybe 2, 3 months to be back all of this and only then we will start worrying about throughputs, which is what we're expecting to have a combined throughput of 18,000 tons per day. 
Ana Zinser: Thank you. And also we saw a sharp margin contraction. Do you expect this to continue or do you expect 2015 to recover? 
Roque Ganoza: Can you repeat that, please? 
Ana Zinser: That we saw a sharp margin contraction at El Brocal. Do you expect this to -- this trend to continue in 2015 or should we expect a recovery? 
Igor Gonzales: Contraction, that's what you said? 
Ana Zinser: Yes, by big contraction. 
Roque Ganoza: We expect El Brocal to have a far more normal year this year than last year. Last year was the ramp-up and it was difficult. There were machinery that essentially were not up to our expectations. There were machineries both in Sweden and in Canada and first class suppliers, but that were not up to our expectations of performance. This year is going to be far more normal and, obviously, the fact that we have hired González Aguirre, [ph] this new management, younger people, we expect to have better results in El Brocal this year. 
Operator: Our next question comes from Botir Sharipov from HSBC. 
Botir Sharipov: A couple of quick questions for me. It looks like you repaid about $118 million in debt obligations in Q4. Yet your total debt has not declined. It's flat from Q3. Can you please help me reconcile that? 
Carlos Pinillos: Yes, well the question is that Brocal paid some loans and converted into a brand new transaction, which is laid back. 
Operator: Our next question comes from Thiago Lofiego from Merrill Lynch. 
Karel Luketic: This is Karel, again. Follow-up question here. First, on Yanacocha. We were very positively surprised on the cash cost guidance for this year between $550 million and $590 million. Looking after 2015, what do you expect in terms of evolution after that? Should we see this level as the new normal for the coming, let's say, 3, 4 years or could they rise after 2015? Just for us to have a [ph]... 
Roque Ganoza: We have been discussing with our partners of Newmont, in fact, we had a meeting last week on Tuesday, in Denver. We are evaluating different projects. Essentially, we still are very optimistic that Yanacocha will continue to be a mine, we think that a mine that has produced in excess of 35 million ounces of gold in this last 20, 25 years. It is a world-class district. We're working on the possibility of developing the sulfide at Yanacocha. We are -- we will start the underground evaluation by August or July this year. And I can assure you that Yanacocha has still a long life to go and we are confident that we'll find additional projects. In 2015, yes, we will be producing close to 900,000 ounces and if we are successful in developing all these projects, we will essentially continue producing at these levels in ounces equivalent. 
Karel Luketic: That's great. And on cost, just -- do you think that we can see stable costs in 2016, '17 or could there be a rise after that? 
Roque Ganoza: We don't have a comment on that. We still don't have all the information to have an answer to that. 
Karel Luketic: No problem. And just a last one, if I may, on asset sales that you mentioned. How much could you -- do you think we could raise in terms of cash on that or -- I know you mentioned, what you're going to also not spend on explorations on that assets too, but what are we talking about in terms of potential cash benefits? 
Roque Ganoza: This area is smaller assets. What matters here is to focus that the management team of Buenaventura focus on the operations that do generate profits and EBITDA. So the amounts are essentially for old mines. In the case of Shila-Paula, it's a very old mine. The case of Poracota was an exploration. The case of Recuperada is a very old mine. Antapite has run out of reserves. So the thing is -- it is a smaller amount, I would say, that altogether will be at the most in the order of $10 million but nothing more than that. 
Carlos Pinillos: The most important impact in our P&L, once we sell that, is to eliminate the provision we have for recognition of this deposit, that all together means in the order of between $25 million to $30 million plus the cash that Roque mentioned. 
Operator: At this time, I'm showing no further questions. I'll now like to turn the call back over to Mr. Benavides for closing remarks. 
Roque Ganoza: Well, thank you, again, for this long conference call. It shows interest on your side and, obviously, we appreciate that interest. I just want to tell those of you that are in North America that our team will be visiting some investors and will be in the West Coast. Carlos Galvez will be together with -- hosted by JPMorgan and will be on the West Coast, and myself and then, Carlos will join, will be in the East Coast. We will be traveling tomorrow night and will be all week in North America. And then on Friday, we're hosting a breakfast meeting at the New York Palace, a working breakfast, in order to expand on all the information that you -- that we have passed to you this morning. So whoever have not received an invitation, please -- and you feel like coming, please let us know, and you are most welcome. With this, we thank you for your attention and have a great day. Bye-bye. 
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect.